Operator: Ladies and gentlemen, thank you for standing by. Welcome to BigCommerce’s First Quarter 2021 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. Please be advised that today's conference is being recorded. I would now like to turn the conference over to your first speaker today, Daniel Lentz, Head of Investor Relations. Thank you. Please go ahead.
Daniel Lentz: [inaudible] and Chairman, Brent Bellm; and CFO, Robert Alvarez. Today's call will contain forward-looking statements which are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements include statements concerning financial and business trends, our expected future business and financial performance and financial condition, and our guidance for the second quarter of 2021 and the full year 2021. These statements can be identified by words such as expect, anticipate, intend, plan, believe, seek, will, or similar words. These statements reflect our views as of today only and should not be relied upon as representing our views at any subsequent date, and we do not undertake any duty to update these statements. Forward-looking statements, by their nature, address matters that are subject to risks and uncertainties that could cause actual results to differ materially from expectations. For a discussion of the material risks and other important factors that could affect our actual results, please refer to the risks and other disclosures contained in our filings with the Securities and Exchange Commission. During the call, we will also discuss certain non-GAAP financial measures which are not prepared in accordance with generally accepted accounting principles. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures, as well as how we define these metrics and other metrics, is included in our earnings press release, which has been furnished to the SEC and is also available on our website at investors.bigcommerce.com. With that, let me turn the call over to Brent.
Brent Bellm: Thank you, Daniel, and thank you everyone for joining us on our first quarter earnings call. During today's call, Robert and I will detail results from Q1 and provide an update on our 2021 full year guidance. We will also provide updates on our strategy, customer and partner traction, product enhancements, and overall industry positioning. Let's kick off with a few highlights from our Q1 financial results. We experienced a robust first quarter with Q1 revenue growing to $46.7 million, up 41% year-over-year. Annual revenue run rate or ARR grew to $196.3 million, up 43% year-over-year. This marked a substantial acceleration compared to the 27% growth rate in Q1 2020. We saw continued momentum in our target market of fast-growing complex and established businesses. ARR from accounts with greater than $2,000 and annual contract value or ACV finished at $163.7 million, growing 51% year-over-year, while enterprise account ARR growth further accelerated to 58% year-over-year, finishing at $112.4 million. All Q1 growth rates reference so far represent accelerations from growth rates in Q1 2020. It's notable that full year 2020 was our third successive year of revenue growth rate acceleration and with Q1 2021 off to this strong start, we've now posted accelerating growth rates in the fourth successive year. This uncommon trajectory of accelerating momentum reflects the traction and differentiation of our offering in the global e-commerce market. Robert and I have spoken on previous calls about our commitment to growing the company the right way by prioritizing customers first, thinking long term, and making smart investment decisions that grow revenue while maintaining our commitment to achieve profitability. Our first quarter demonstrated progress in this area with adjusted EBITDA margins strengthening to negative 5%, a 12-point improvement versus Q1 2020. We see a tremendous addressable market for BigCommerce. And we are positioned to capitalize on the opportunities in front of us. We will continue to make strategic investments in areas selected to generate strong returns on invested capital while focusing on the full-year 2021 profit guidance we outlined back in February. The commerce market share growth in the midmarket and large enterprise segments continues to strengthen. Customers see the value proposition and differentiation of our platform. Our open SaaS platform and partner ecosystem enables companies of all sizes to quickly and successfully establish an online and omni-channel sales presence. It gives our merchants access to the multiple channels and marketplaces where consumers can discover and buy their products all while keeping costs low through the total cost of ownership benefits of multi-tenant SaaS software. Over time, we believe on-premise software and closed enterprise SaaS offering will find it increasingly difficult to compete with a best-of-breed open SaaS approach. In summary, our strategy is simple and has three key elements. One, we pursue textbook disruptive innovation by extending the capabilities of our platform to serve ever larger merchants thereby disrupting the legacy incumbent platform leaders in the midmarket and large enterprise segment. Two, we continuously innovate to deliver the world's best open-SaaS e-commerce platform with best-of-breed functionality and a massive amount of flexibility for a SaaS platform using API, software development kits and tech partner extension. This open strategy provides fast growing and complex businesses the ability to optimize our approach to e-commerce for the unique business needs. Three, we will grow our business using a repeatable playbook that is based on the retention and growth of existing merchants, acquisition of new customers in an ever-expanding range of segments like B2B, headless and large enterprise, expansion geographically, and finally, the growth of supplemental partner and services revenue. Now, I'd like to shift focus to some notable new customer site launches. In Q1, we saw a diverse roster of notable brands use our native and headless converse capabilities to launch in BigCommerce. Some examples being Black Diamond Equipment, a leader and mountain adventure gear and top 1,000 online retailer, launched a headless site implementation using GoodCommerce and Prismic CMS. This combination empowers its marketing team to deliver an experience-first site design while maintaining the operational coordination necessary to support an extensive product catalog. USCutter, another top 1,000 online retailer that offers the largest selection of vinyl cutters in the industry, embraced its consumers’ desire for freedom of choice by providing a wealth of payment and shipping options at checkout including buy online, pick-up in store functionality. The Bristol British Association of Restaurants, Bars and Independents in the UK leveraged headless commerce to launch a delivery app to help dozens of independent food venues in Bristol State and business post-lockdown. Dowty Propellers, a GE Aviation company and manufacturer of integrated propeller systems launched a new site with extensive B2B functionality. LexisNexis, the world renowned provider of legal, regulatory and business information now provides its customers in Australia the ability to create and buy their own bundles of legal modules that contain materials from different areas of their offering. Just this week, BigCommerce finalized a deal with WineDirect that I am personally thrilled to share. For those unfamiliar, WineDirect provides end-to-end technology solutions to help wineries sell directly to consumers, and through this partnership, WineDirect’s 2,000 plus wineries, roughly 15% of all US wineries will be able to power their online store fronts through BigCommerce. In Q1, we also announced nearly a dozen new product features and welcomed several new partners to our platform. Within omnichannel, we partnered with Walmart to give US vendors access to over 120 million unique consumers visiting Walmart.com monthly. Merchants can now seamlessly connect their e-commerce storefronts to Walmart.com, giving Walmart consumers convenience and a wider selection of products. We collaborated with our tech partner RANDEMRETAIL to launch buy online pickup in store capabilities across small and medium-sized merchants with an easily configured solution. An advanced version, offering more customization and features such as curbside pickup is also available for mid-market and enterprise customers. Promotions Manager is a powerful and flexible tool designed to help mid-market and enterprise customers improve their marketing and inventory management. It's highly customizable and has received extensive praise from our customers and industry analysts like Forrester. We introduced new platform capabilities that accelerate. We introduced new platform capabilities that accelerate our international expansion. Control Panel and Self-Service tools were launched in several additional languages. Merchants that speak these languages can now purchase a BigCommerce subscription, onboard and manage their stores in their native languages. For omni-channel merchants, we announced our native integration to Square Point of Sale, which enables merchants to sell products online and offline using Square. This makes it easy and efficient to coordinate product catalogs and inventory automatically, helping merchants to better optimize their supply chain. Finally, we launched the payment provider, Software Development Kit or SDK for credit card providers. Introduction of this capability is an important step in our international expansion. This SDK allows local payment processors and/or systems integrators to integrate payment gateways into BigCommerce. This will in turn enable our business development team to identify and sign new payment partners around the world, reduce our partners’ time to integrate, and accelerate BigCommerce adoption in new geographies. As we look forward to the coming months and quarters, we see many areas of opportunity to invest and grow our business. Our product road map will continue to target platform enhancements and extensions that deliver high customer value and return on investment. Externally, we will prioritize partnerships and agreements that present opportunities to enhance value for our customers beyond what our product roadmap can accommodate. Our focus remains on extending our platforms capabilities without fundamentally changing our core Open SaaS strategy. As we've discussed before, unlike our closest competitors, we do not aspire to compete in an ever-expanding number of new software vertical categories. Instead, we focus our efforts on building the world's most open, flexible, and capable SaaS platform, while partnering with best-of-breed leaders in adjacent software and service categories. We will look for opportunities to deliver great value to our customers without compromising our open platform and partner-centric strategies. Before I turn it over to Robert I'd like to thank all of you who follow and invest in BigCommerce. We aspire to shape the future of e-commerce and we're grateful for everyone who contributes to our mission. With that, I'll turn it over to Robert.
Robert Alvarez: Thanks, Brent. And I appreciate everyone joining us on the call today. I'll review our most recent quarterly results in detail and provide an update on our full-year 2021 guidance. Overall, we're very pleased with our most recent quarterly results and we are encouraged by our team's strong performance across all the markets that we serve. Although still early in the year, our KPIs are tracking well compared to our expectations, we saw strong momentum and continued acceleration in Q1 and we see strong underlying trends in our business. We generated total revenue in Q1 of $46.7 million up 41% year-over-year. Total revenue in the US grew 35% in Q1 while we also delivered another quarter of strong international growth. Annual revenue run rate or ARR grew to $196.3 million up 43% year-over-year. International revenue grew 65% year-over-year with 80% year-over-year revenue growth in EMEA and 52% year-over-year revenue growth in APAC. We're also excited about the strength and resilience of online consumer spending and merchant activity that we saw in Q1 especially given that we historically see slight decreases in transaction volume coming out of the Q4 holiday season. Now, I’ll break down the results of our subscription and partner and services revenue. Subscription revenue grew 36% year-over-year. This acceleration was primarily driven by continued strength in net revenue retention with additional momentum building in new merchant bookings as well. Partner and services revenue was up over 52% year-over-year and this revenue was up over 52% year over year. This was driven by continued strength in same-store sales and the associated revenue that we believe was partially driven by government stimulus checks in March in the United States. Our enterprise account ARR grew 58% year over year to a $112.4 million in Q1 and enterprise accounts represented 57% of ARR as of March 31, compared to 52% last year and this year. We will continue to maintain our focus and investment on growing our share in the Enterprise segment. Including the large end of enterprise as demonstrated by our recently announced partnership with WineDirect, which enabled direct-to-consumer wine sales of over $2 billion in 2020. We are confident that we can compete and win similar opportunities as we continue to meet the needs of large enterprise accounts. Our work here is clearly paying off and accelerating the pace of growth in our Enterprise plans. Next, I'll cover the total number of accounts with annual contract value or ACV greater than $2,000. At the end of Q1, we had 10,509 customers over $2,000 threshold, an increase of 1,521 accounts or 17% year over year. Our sales team is making steady progress and consistent market share gains within the mid-market and enterprise segments. Currently, accounts with ACV greater than $2,000 now makes up 83% of our total ARR in Q1. Another key metric we track is ARPA or average revenue per account. It gives us an indication of our portfolio mix and growth potential. ARPA for accounts with ACV greater than $2,000 for Q1 was $15,582, up 29% year over year. This was driven by strong sales mix of enterprise plans and higher PSR, which is composed of revenue sharing agreements across payments, shipping, omnichannel, tax and other ecosystem verticals. Let's move on to discuss the remainder of the income statement. Please note that unless otherwise noted all references to our expenses, operating results and share count on a non-GAAP basis. Our gross margin profile continues to strengthen with margins now north of 80%. In Q1, non-GAAP gross profit was $37.8 million which is up 47% year-over-year. This translated to a gross margin of 81% that was nearly 300 basis point increase in gross margin compared to Q1 2020. Accelerating growth in our SaaS subscription sales and continued strength in the PSR revenue drove the improvement in margins. Moving on to sales and marketing expenses, in Q1, we reported $19.2 million equating to 41% of total revenue compared to $15.5 million and 47% a year ago. As we previously guided, we continue to ramp up our efforts in hiring within our go-to-market efforts particularly to support our international expansion plans. Our subscription mix growth continues to trend towards enterprise plans and we continue to see high quality leads for these larger size accounts coming from our inbound marketing efforts and partner referrals. In Q1, research and development expenses were $12.3 million or 26% of revenue compared to $10.6 million and 32% a year ago. Creating disruptive and innovative features for our merchants is key within the e-commerce space as technological requirements and opportunities are evolving rapidly. We will continue to look for opportunities to invest in this area while continuing to drive leverage as we ramp our offshore development teams. For the quarter, general and administrative expenses were $9.5 million or 20% of revenue compared to $6.1 million and 18% of revenue a year ago. Growth in G&A was in line with our plans and primarily tied to items related to supporting our operations as a public company. We see G&A as a percentage of sales gradually declining over time as we continue to scale our business. We reported a non-GAAP operating loss for Q1 of negative $3.1 million or negative 7% operating margin compared to a negative $6.4 million or negative 19% operating margin in Q1 2020. Adjusted EBITDA was negative $2.4 million or negative 5% adjusted EBITDA margin, a 12 point improvement from a negative 17% adjusted EBITDA margin a year ago. Non-GAAP net loss for Q1 was negative $3.1 million or negative $0.04 per share compared to a net loss of negative $7.4 million or negative $0.40 per share a year ago. Our goal is to generate consistent long term growth as we develop the best open SaaS platform in the market with the ultimate goal of being profitable in the timeline we've committed to. We were aiming to reach EBITDA breakeven as we exit 2022. And we are on track to hit that target. When we have opportunities to reinvest in the business in order to accelerate our strategic initiatives while sticking to that timeline, we will do so. Turning to the balance sheet and cash flow statement, we ended Q1 with $208 million cash, cash equivalents and marketable securities. Operating cash flow was negative $12.8 million compared to a negative $10 million a year ago. Free cash flow was negative $13.2 million or negative 28% free cash flow margin compared to negative $10.6 million and a negative 32% free cash flow margin in Q1 2020. Now a shift to discussing guidance for Q2 and for the full year 2021, as Brent and I have said, we are encouraged by our results in Q1 and we believe this shows the growing momentum building in our business. Even as we reinvest back in the business to capitalize on this, we are taking a prudent approach to our guidance for the remainder of the year. Our guidance assumes a reasonable level of growth and normalization in consumer spending online throughout the year and meaningful shift in the broader macroeconomic environment and e-commerce spending could cause us to modify our guidance higher or lower, and we will continue to provide our best view of these trends in future earnings calls. For the second quarter of fiscal 2021, we expect total revenue in the range of $46.4 million to $46.9 million, translating into a year-over-year growth rate of 28% to 29%. Our non-GAAP operating loss is expected to be $8.1 million to $8.6 million. For the full year 2021, we currently expect total revenue between $196.7 million to $198.2 million, translating into a year-over-year growth rate of 29% to 30%. Our non-GAAP operating loss is expected to be between $31 million and $32.5 million. With that, Brent and I are happy to take any of your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Brent Bracelin from Piper Sandler. You may begin.
Clarke Jeffries: Hi. This is Clarke Jeffries on for Brent. First question, Brent, you mentioned in the annual letter the company has an ambitious road map of capabilities and integrations plan for your customer base. I just want to ask where do you see the best opportunities for Open SaaS going forward and where do you think by partnering there's an opportunity create something really differentiated and potentially move faster in terms of bringing something to market as opposed to a vertically integrated approach?
Brent Bellm: Thanks for the question, Clarke. Our Open SaaS strategy will still benefit from incremental product investments in both the enterprise functionality of our platform as well as the enterprise endpoints and flexibility of it. I would add though that the other strategic expansion dimensions that we frequently talk about like B2B [indiscernible] omnichannel, international expansion and enabling partners to succeed in conjunction with us are all big opportunities for investment. As with most companies in every given year we've got budgets that we have to live within. We look at what are the highest priorities that we can't afford within our budget. And then for those opportunities that we see that we can't get to in the short term we look for partner opportunities to expand and accelerate the capabilities that we and our ecosystem deliver to merchants. So the short answer is that we are looking for both internal investment and partner ecosystem enablement on those key expansion themes that we frequently talk about publicly.
Clarke Jeffries: Great and then RA, you know, enterprise continues to accelerate 58% ARR growth. It seems even on a subscription ARR basis we're seeing an acceleration in that as well. I guess just what's resonating most when you think about the $50 million GMV customers above and where would you sign most of that contribution outside we're seeing between new that contribution upside we're seeing between new brands and order volume driven outside and existing customers. Thank you.
Brent Bellm: Yeah. I think it's – our open SaaS approach is definitely resonating especially with the larger enterprise accounts. When you think about the complexity of larger accounts, that's where we really shine. If you're going to sign a five- to seven-year agreement and you're thinking about your future e-commerce platform, we believe we're the most future-proof e-commerce platform in the market. The pace of innovation that's going to happen in the next 5 to 10 years is going to be crazy in terms of the speed and the offerings from our partners. And so, if you're an enterprise merchant, you love the customer – the ability to customize, you love the flexibility, but you also love the best-of-breed solutions that we can bring to you in a native way. And so, when you look at our pipeline, we're seeing a higher mix of larger accounts. WineDirect is a great example of a really large account that we're winning and we expect to win more large accounts going forward. And again, the openness is really resonating. The best-of-breed solutions that we bring to bear really resonate. And whether it's headless, whether it's B2B, the components of our platform that are flexible but also the ones that if you're in the merchant shoes, they really view us as the ones that are going to be able to bring the most innovative technologies around e-commerce for many years to come.
Clarke Jeffries: All right. Thank you. Encouraging to hear.
Operator: Our next question will come from the line of Josh Beck from KeyBanc Capital. You may begin.
Josh Beck: Thank you for taking the question. Maybe to start with, Brent, I'm just curious what you see happening with respect to really building the pipeline and conversion. It certainly seems like the message around modernizing e-commerce platforms has become stronger in the last year certainly being a public company, I imagine is providing a bit of a halo and number of great partnerships. Just curious maybe how those conversations have evolved and really how you're thinking about the potential contribution from new cohorts which really seems to be stepping up every year as we go through 2021?
Brent Bellm: Hi, Josh. Thanks for the question. Typical evolution for a technology like ours and a company like ours that pursues a disruptive strategy is you start at the low end like we did 12 years ago meaning focus on SMBs, you add performance and functionality, you earn the right to start competing for mainstream mid-market customers and now what we're seeing is a successful evolution of our ability to compete even for the largest of enterprises. And so the part of our pipeline that I would say has grown the most in the last 12 months pre and post-IPO has been the large enterprise segment of our pipeline and our sales capabilities. We really do believe that as we keep further enhancing the platform capabilities both native functionality and enterprise level flexibility and openness that we are in many cases the best multi-tenant SaaS alternative for large enterprises who used to have to go to on-premise software the Oracle ATG, the Magentos, and IBMs, and SAP options of the world or even custom. Most companies these days realize that's the last place they want to have to be either custom developing or custom managing license software. They want to be on SaaS. The question is, is there a SaaS platform that has enough enterprise functionality and flexibility to let them really optimize for their business needs. And we believe that's increasingly and uniquely where we are today therefore able to build and serve pipeline in all three segments that we compete in.
Josh Beck: Really helpful. And maybe a follow-up for you, R.A. Certainly, a really nice beat in the quarter. I think it was a little more than $4.5 million on revenue. And you're taking the full year up, I think, by close to $7.5 million. So maybe just help us understand within that upward revision, is it really related to the momentum you're having on the subscription side? I know you mentioned you want to keep a balanced view and really think about normalizing consumer spending post the stimulus. So maybe just help us understand how some of those factors played into the guidance.
Robert Alvarez: Yeah. Hey, Josh. Yeah. I mean the 36% subscription growth in Q1 was great to see. We feel strongly that we can maintain that level of growth into Q2 for subscriptions. We've got that pretty dialed in at this point. Where we have to be careful is really around PSR. As you know, last year Q2 was a full quarter of the elevated GMV that ran through the platform. And so we're kind of balancing out our views carefully around where GMV goes from here as things start to open up. But if you kind of split apart subscription and PSR we feel great about the growth in subscriptions really across the board, retail plans, enterprise plans across the US and international. So subscriptions, we feel strongly Q2 will be kind of in that 36% range. And then where you see some conservatism will be in the PSR line.
Josh Beck: Really helpful. Thanks, team.
Robert Alvarez: You bet.
Operator: Our next question will come from the line of Tom Roderick from Stifel. You may begin.
Parker Lane: Hi. It's actually Parker Lane on for Tom. Thanks for taking my question. As I look at the roster of new partners that were added during the quarter, a lot of interesting organizations there. Can you give me a sense of how many of those organizations joined the ecosystem as a result of you acquiring new customers versus your own efforts to really expand the ecosystem and continue to differentiate your Open SaaS approach?
Brent Bellm: When you say partners, are you referencing – which – are you talking about the customers? Are you talking about partners like Walmart, WineDirect, and Commerce…
Parker Lane: Yeah, Brent. Yeah. Looking like – yeah, like a Contentstack, a Paystack, Dynamic Yield, some of those organizations that you outlined in the presentation.
Brent Bellm: Well, I love talking about, for example, how the Open SaaS strategy is essential to being able to win big partnerships like what we've done with WineDirect and Commerce Bank of Australia. In both of those cases, if you think about WineDirect, they had a custom platform that their 2,000-plus wineries were on. But they can't differentiate and compete on the core platform elements of it. Where they really differentiate are the wine industry specifics like managing mailing lists, allocations, tax and shipping compliance, tasting room visits, stuff like that. And so stuff like that. And so, a platform in order to be able to take over the core of e-commerce and yet seamlessly integrate with them for all the category specific things that they do better than anybody else requires the ultimate in flexibility and really, we’re the natural for that type of partnership. Similarly, with commerce bank, we're not a competitor of theirs. They want to serve merchants and give them the full suite of banking services – payments, commercial banking, lending, buy now, pay later. And unlike some of our competitors, we don't compete in all or any of those. We partner. And that makes us the natural for them to want to go to market and really become a leading force in Australian digital and e-commerce. And so, I would say across the board the Open SaaS strategy that we have is inherently partner-centric for everything that is beyond the core platform. It's all the adjacent verticals in category after category. We don't look to compete with our partners. We look to make them more successful in conjunction with us than their offerings would be on any other platform and especially those platforms that so often do compete with them. That is really the core to what we are trying to do, and it leads to very innovative and novel partnerships like some of the ones we've announced recently.
Parker Lane: Got it. Very helpful. And then maybe a product question. How far along would you say that your customers are today and their promotions and customer loyalty journeys? And when you look at things like promotions manager which just seems like you're investing in right now, how does it really differentiate the platform versus some of the other competitors you've talked about in the past? And I guess the question is that an area that you really think you can set yourself apart from some of those competitors and make yourself the most attractive offering out there.
Brent Bellm: Our promotions managers are a big deal. The flexibility and power of the various combinations that are available in it. And you think about all of the criteria that you might add to a promotion like how much you buy, what categories you buy, what items you buy, what frequency you buy, that count in your cart with all the different types of promotions, dollars off for your discounted shipping, percent off. Buy one, get one, as well as sort of the layered characteristics is it only on full-price items. It does include sales. Can you stack promotions? All of these permutations are extraordinarily complex and we think that natively, our platform can handle that variety better really than any other SaaS platform that we know of. This matters an awful lot to a wide range of businesses either because they are promotion savvy and need – and want that flexibility or because they have unique combinations that aren't available on a bunch of competitive alternatives. So, the rollout of this promotions manager is very, very advanced and sophisticated functionality meant to make promotions simple, easy, and powerful for our customers and the – some of the leading tech analysts, industry analysts like Forrester and Gartner. They understand the nuances of what a platform can or can't do. And they call out what we've now brought to market as very much leading edge.
Parker Lane: All right. Thank you.
Brent Bellm: Thank you.
Operator: Our next question will come from the line of Samad Samana from Jefferies. You may begin.
Samad Samana: Hi. Good evening and thanks for taking my questions. First, maybe one for RA. When I think about the accountsof ACV greater than $2,000, the growth there actually continue to accelerate nicely in March. I was wondering if you can maybe help us understand how those were customers flipping into that tier that were already on the platform versus new customer acquisition in the quarter.
Robert Alvarez: Yeah, hey, Samad I would say mostly from revenue but we also saw some upgrades but I'd say the most part is those new, net new. What we're also seeing is continued strength in our unit economics across the board especially with accounts greater than $2,000. We know – you saw the improvement in NRR last year that trend continues to improve. So, I think whether it's gross new trends in upgrades as well as really improved retention across the board we're kind of seeing all of those characteristics in that cohort.
Samad Samana: Understood. And then maybe if I think about the assumptions in guidance I told hearing on the PSR side but assuming the normalization of consumer trends but what are you assuming if any in terms of improvement in the PSR take rate in terms of partner economics going forward for the rest of the year?
Robert Alvarez: Yeah, I mean what I'll tell you is we're actively investing in ways to make it easy for our merchants to leverage our partner’s products. Historically payments has been the biggest driver in PSR. But we're definitely starting to see revenue streams from partners outside of payments omni-channel, shipping fulfillment, really across the board. We're starting to see our merchants taking on and adopting our partner’s products. And as we think about this year and going forward, we're going to make that a lot easier, much more streamlined, and we expect that trend to continue.
Samad Samana: Perfect. And I’ll just squeeze one in for Brent, maybe just zooming out one of your competitors has been investing kind of early stage or some stage in private companies. I'm curious how you think about maybe investing capital into your partners and maybe getting a preferred relationship or if that's something that the company is considering as part of their partner strategy going forward?
Brent Bellm: The thing I struggle with in that dimension is how to have integrity around being open and partner centric if you take an equity investment in a particular player in a competitive category. I wouldn't have qualms around it if it's a relatively one player unique niche, but there's a conflict of interest if you have an ownership stake in someone. So we haven't done it yet, and that's one of the factors that has played into it. And we've tried to stay true to our partner-centric, ecosystem-centric approach.
Samad Samana: Great. Congrats on the strong start to the year, guys. Appreciate the questions.
Brent Bellm: Thanks.
Operator: Our next question comes from the line of Raimo Lenschow from Barclays. You may begin.
Raimo Lenschow: Hey. Thanks for squeezing me in. Two quick questions, one for Brent. Brent, if I look at the – your comments around enterprise, it looks like you're starting to deal with big accounts. Can you remind us like of the sales cycle that we need to be aware of? And then as part of that, like what's the pipeline in that respect in terms of how that's kind of building and what you're seeing in the pipeline? And then one for Rob is like you’ve been talking about the partner revenue for base. And I get it that you're kind of nervous because you're hitting tougher comps but we now had one quarter where we started to see the comps and we see the comments from your competitors. Like what's your view in terms of like the level of conservatism you need in this line now? And like what's the puts and takes that you put into your comments? Thank you.
Brent Bellm: Hey, Raimo. I'd say typical sales cycle for small business is under two weeks and our two-week trial period well aligns with that typical sales cycle. For mid-market is under two months and for large enterprise on average it is going to be longer than two months. Although we are pleasantly surprised with some frequency by really big opportunities that come in and very quickly do their diligence and realized – hey we're perfect for them and they want to move quickly. But yes indeed, it's a longer sales cycle and it does make large enterprises tougher to predict. It's not large numbers the way mid-market and small business are. And so we in our own planning internally we love to count on a lot of the bigger deals that sort of upside relative to hitting our goals rather than a core part of the plan. The sales cycle is longer for sure.
Robert Alvarez: Yeah. A couple points Raimo, on PSR. I mean we’re really happy to see the elevated transaction volume carry forward through Q1. We did see a spike kind of in mid-March and it was really a spike across the board. Same store sales from most of our merchants. We didn't carry that forward. We don't expect that that spike from the stimulus checks that we believe impacted GMV in March would continue. I’d also in March would continue. I'd also point out as we start to sign and bring on really large accounts like WineDirect, it's going to take time for those stores to launch and the GMV that we expect from large accounts like that is not going to hit till later in the year. So those are probably the two main call-outs. We do expect GMV to remain strong but the base periods from last year are going to be something that we have to factor in for Q2 and likely Q3 and Q4.
Raimo Lenschow: Perfect. Makes sense. Congrats. Thank you.
Robert Alvarez: Thanks, Raimo.
Operator: Our next question comes from line of Stan Zlotsky from Morgan Stanley. You may begin.
Stan Zlotsky: Perfect. Thank you so much, guys, and congratulations on a strong quarter. I just wanted to…
Robert Alvarez: Thanks, Stan.
Stan Zlotsky: Of course. I wanted to follow up on Raimo’s rightmost question. Just as much as you saw that spike in PSR in March-ish as stimulus checks hit, is there a way to kind of cut off that spike and give us a sense for what the normalized PSR growth rate would have been in the quarter? Because, obviously, we had Q4 very strong PSR on the back of the holiday season and Q1 was actually even bigger PSR quarter. So I guess trying to figure out what's the kind of like the more normalized PSR growth rate ex the spike.
Robert Alvarez: Yeah. Easiest way to do that, Stan, is if you look at Q2, we feel great about our subscription revenue growth. We think that we can sustain 36%. And so, when you kind of back into the delta, you'll get to a PSR number. And when you compare Q2 to Q1, you can kind of see that delta. I mean it's not massive but that'd be the best way to get a view of that.
Stan Zlotsky: Got it, got it. And I wanted to touch on the international component, very strong growth internationally. What are you seeing there as far as there are still lockdowns that are happening in various geographies outside of the US, but yet, you're still – you’re seeing strong growth and there is the vaccine’s is being rolled out more aggressively internationally. As in, what did you see in the quarter outside of the US and how are you thinking about that part of the business moving forward through the rest of the year? Thank you.
Robert Alvarez: Yeah, We’re seeing continued very strong sales out of our London office, primarily Northern European businesses but also with nice inroads on the continent as we expand. As we've talked about in prior earnings releases, we have translations into quite a few of the Continental European languages and now have marketing and full cycle sign-up websites for French, German, Italian, Dutch, Spanish. So we're really excited about the Continental opportunity. Our original market was Australia. That's where the company was founded and so continued strength out of Australia and New Zealand. But long-term, whether there's a pandemic recovery or not, the upside for our business when you think about all of the non-English speaking geographies, Continental Europe, Asia, Middle East, Latin America, Africa, is enormous. And we aspire to be a well-localized and very competitive platform in countries all around the world in the coming years. And so, I think the size of the opportunity completely overwhelms the temporary status of lockdown or not lockdown on a country-by-country basis. And we really do believe international growth will be one of the big drivers for our business for years to come.
Stan Zlotsky: Perfect. Thanks, guys.
Robert Alvarez: Thanks, Stan.
Operator: Our next question comes from line of Terry Tillman from Truist Securities. You may begin.
Connor Passarella: Hey, guys. Congrats on the quarter. This is actually Connor Passarella filling in for Terry. I just wanted to ask about the payment SDK on how the early reception and adoption has been there and then what do you see in the native integration with a player like Square? Is there any co-selling or joint go-to market opportunities here, especially in Europe?
Robert Alvarez: Yeah. So two different product releases that we've had. For payments SDK, we're out in sort of Phase 1 which is basic credit card, acceptance, and integration. It's not yet full featured in the sense that you can't then integrate alternative payment methods as a complement to basic credit cards. And so, it's a specific use case that has gone unlock. We have the next phase coming out that is going to expand our capabilities, in particular to benefit a lot of emerging markets and the characteristics of payments providers in those. And so, expect more announcements and more progress with us over time as we unlock partnerships around the world with Square for sure. We've been a partner with Square for now years. The latest upgrade to our integration is by far the best by far the best we've had yet in terms of both performance and usability. We hope that that then leads to more visibility within the apps ecosystem for Square in terms of joint go-to-market there's always going to be some limitation with Square because transparently they bought Weebly. Weebly has an entry level e-commerce platform that might serve the smallest of Square merchants successfully and we really − they really looked to us as a go to mid-market and above option for their larger or more complex customers.
Connor Passarella: Got it. Thank you. Definitely some helpful color there and then just one quick follow-up. What are your thoughts on gross churn assumptions across different parts of your business for 2021? Thanks, guys.
Robert Alvarez: Yeah. I would say my comment earlier we're seeing really strong retention trends not only on enterprise plans but really across the board. We're doing a better job of really bringing on and attracting established businesses and the reality is that the stickiness of the platform is only getting better every quarter, so very encouraged to see retention trends improving every quarter across all plans.
Operator: And our next question will come from the line of David Hynes from Canaccord. You may begin.
David Hynes: Okay. Thanks, guys and congrats on the results. One for Brent and then one for RA. Brent, a more strategic question. As more and more of the e-commerce world goes headless, right, and there's more of a focus out there on personalization. How do you guys think about participating on the consumer data and intelligence side of things to enable that. Is that interesting to the commerce? Does that fall to ecosystem partners? Like where do you – what's your view on that?
Brent Bellm: It's a combination. So what we want to do is to be best in the industry at providing data in a usable framework for our merchants and in an accessible way for extensions, whether that's headless extensions, personalization extensions, data analysis extensions, et cetera. And one of the capabilities we have right now which is just absolutely love and market leading for our customers is our big query database that exists for every pro and enterprise merchant. They get their own Google big query database, they can add to it, append it and then put data analysis tools, free or paid on top of it to do the kind of enterprise level reporting at free or extraordinarily reasonable cost that you can't do out of the box with other platforms. And so I think our data strategy is market leading and it's one of the unsung heroes of capabilities that we offer to our customers.
David Hynes: Sure. Interesting. Thanks. I mean, R.A., can you just remind me how the PSR opportunity on GMV that comes through the marketplaces differs from sales that are directly on a BigCommerce site? And I guess a follow up to that would be what percent of GMV comes through marketplaces today?
Robert Alvarez: Yeah. I think it's a mix. Some of our marketplace and channel partners will give us a rev share, some won’t. It is a mixed bag, but we're focused on making sure that you're a merchant. And again, you want to future proof your e-commerce and where the transactions will continue to happen, for us, all of these omni-channel partnerships is really intended to drive success for our merchants that they won't be able to see on any other platform. And so, we'll get rev share, some won't. But collectively, I think it's going to drive further adoption and further retention.
David Hynes: Yeah. Yeah. And in the marketplace GMV today, is this still pretty small or what?
Robert Alvarez: It’s still relatively small, but definitely growing for sure.
David Hynes: Okay. Go. All right. Thanks, guys. Congrats.
Operator: Our next question will come from the line of Scott Berg with Needham. You may begin.
John: Hey, guys. This is John [indiscernible] for Scott Berg. Thank you for taking my question. I'm just curious if you could provide a little more color on any things around what you're hearing from your customers as far as how they're thinking about the economy starting to open back up? How that relate to e-commerce sales? And then second, how is the early uptake of the general manager products then? Are you seeing any need for different trends as it relates to your customers usage or preferences of those content channels? Thank you.
Brent Bellm: Yeah. In terms of the economy opening up, I think if you look at the growth or implied growth coming out of e-commerce platforms or the Department of Commerce Census Bureau data. You can see that e-commerce continues to grow at very healthy rates and what looks like rates higher than where it was pre-pandemic, although we haven't gotten to the kind of core of lapsing. Our customers are always trying to simultaneously maximize. Our customers are always trying to simultaneously maximize both what they sell online and if they have any kind of offline business do that as well. But what's more important than ever is the combination of the two. And that's why we're so focused on enabling them with great integration capabilities between their online and their offline including buy online, pickup in store functionality like what we announced in our recent earnings release. So, I would say that we're trying to enable them to sell online, offline in an integrated way better than ever before and help them thrive in this new era. Then, remind me your second question?
John: Just on the channel manager products, how is the early uptake in booking and interesting unique or different trend as far as the usage of preferences of those various content channels?
Brent Bellm: Yeah, our channel manager is extremely popular and what we're really trying to evangelize with all of our customers is to think broadly that maximizing sales online involves being everywhere their customers might be when they're shopping. And so, whether it is advertising channels like Google, social networking channels like Facebook and Instagram, marketplaces channels like Walmart and Wish and Amazon and eBay, we're enabling all of them. And every time we introduce a new one, there's enormous enthusiasm. For example that, Walmart announcement was met with enormous excitement within our community. The story I like to tell us remember when Walmart was just a store based retailer they were famous for only serving or trying to serve the top two brands in every category. And that means if you're a niche brand, a new brand, number four or number brand, a new brand, number four, number five, you couldn't easily get on the store shelves. Well now at Walmart.com and their colossal customer base they're not limited in terms of SKU count, depth of inventory, breadth of inventory. And these incredibly great brands have always wanted to serve the Walmart consumer can get in there today and for the first time do so through their digital footprint, so enormous amount of enthusiasm. And the same was true with Wish for a different type of consumer when we announced that, so lots of enthusiasm. Our strategy really is to try to be the best omni-channel enablement platform in the industry.
John: Great. Thank you, guys.
Operator: Our next question comes from the line of Brian Peterson from Raymond James. You may begin.
Brian Peterson: Hey. Good evening, gentlemen, and thanks for taking the question and congrats on the really strong results. So first one, I don't know if Brent or R.A. wants to take this. I heard a lot of drivers of the ARR acceleration but I did hear that net new picked up. And I'm curious if we could double click on that a bit. We’ve got win rates picking up, bigger pipeline of opportunities, any increased share donors, any thoughts on that?
Brent Bellm: Yeah. I'll jump in. Hey, B.P. I'd say pipeline remains strong. And I think we're entering into a quarter where our pipeline has never been better. When you think about net new, we're super pleased with our team's performance on gross new subscriptions. We saw nice trends again in retention. So when you factor in our pricing model – the one thing I failed to mention earlier is as these omni-channel partnerships and as the attach rates continue to grow in channel manager all of those will drive orders for BigCommerce. Whether or not we get rev share or not, they're all going to drive increasing orders. And if you're on an enterprise and plan on BigCommerce and you exceed your initial order tiers, then, you're going to see those upgrades over time. So we're seeing great trends in gross new. We're starting to see good trends and upgrades in growth adjustments and super pleased with the improved retention that we're seeing every quarter.
Brian Peterson: Good to hear. And RA maybe just a follow-up for you. We're about halfway through the second quarter at this point. Obviously, it's tough with the stimulus checks and we're in a pandemic. But I'm curious what you've seen so far quarter-to-date and how I think do you feel about the PSR revenue? Thanks, guys.
Robert Alvarez: Yeah. So, I mean, given where we are in the quarter makes again makes me feel good about subscription growth rates at 36%. GMV, the impact of the stimulus we're factoring into our guide. And so, again, BP, it's just about a matter of just being careful around what's going to happen the next seven or eight weeks.
Brian Peterson: Understood. Thank you.
Robert Alvarez: Same-store sales year-to-date, we've been very pleased with the amount of transactions across all of our merchants.
Brian Peterson: Good to hear. Thanks, RA.
Robert Alvarez: Thanks, BP.
Operator: Our next question will come from the line of Mark Murphy from JPMorgan. You may begin.
Mark Murphy: Great. Thank you for squeezing me in here. Robert, considering the enterprise attraction that you're speaking to, do you see a reasonable opportunity to perhaps continue adding this level of net new ARR which has been it's a pretty tight range of about $14 million to $15 million the last four quarters. Do you think that can continue through this year, I guess with just vaccinations reaching a tipping point and pandemic restrictions easing and so on and so forth?
Robert Alvarez: Hey, Mark. Yeah, I think the one thing that we're really excited about is how well our initiatives are really resonating with these large enterprise merchants. So again, whether it's our headless capabilities, whether it’s B2B, again put yourself in the shoes of a large enterprise merchant and you're going to look at us as a way to take advantage of a lot of technologies that are evolving and innovation that's happening across the ecosystem. Since we are focused on this open SaaS platform and partnering with folks that wake up every day, go to bed every night thinking about what's the most innovative technologies they can develop across payments, across omnichannel, across shipping and fulfillment, you name it. I think all of that is resonating. So when I think about enterprise, I think we're just scratching the surface especially with large accounts like WineDirect. There's going to be a point in time when we're going to be signing accounts north of a $1 billion of GMV. And I think we're clearly now disrupting that large segment of the market. So I feel good about it.
Mark Murphy: Okay. So, you feel good about that net new ARR glide path, it sounds. Brent, I wanted to just kind of go back to a comment you made earlier. Are you saying that you expect some of your recent product introductions such as buy online and pick up in store to kind of continue to drive strong ongoing activity this year even for accounts that hurried up to go live with BigCommerce last year when the pandemic hit. In other words, do you think they're going to kind of continue adapting to some of the consumer behaviors that might be permanently altered?
Brent Bellm: Yeah. I think we're very early days of businesses optimizing their experience for customers and integrating that experience between online and offline. And what they're really looking for are integrations with their point of sale software, as well as functionality enabled through the platform, Wi-Fi online pickup in store or buy online local delivery. That that sort of integrates that search functionality of what products are in which stores. How do I look up the stores relative to where I am? How do I see my delivery options? All of that’s advanced level functionality. And if you rush online, because you got caught flat footed or you re-platform, may be in Phase 1 you haven't gone full bright on all those capabilities or the best ones available and you keep upgrading that experience to try to please the rapidly changing consumer expectations. So I think there's a lot of opportunity ahead as businesses keep perfecting that and wanting to work with platforms like BigCommerce that are really good at the point-of-sale integration side of things and the customer experience for offline shopping via online.
Mark Murphy: It’s understood. Thank you.
Operator: Our next question will come from the line of Ygal Arounian from Wedbush Securities. You may begin.
Ygal Arounian: Thanks guys for squeezing me in here. So a lot of focus on the enterprise side rightfully so doing a lot of things right there. So I just want to maybe spend a few minutes on the SMB side and just see what you guys are seeing there right now and what the opportunity for you guys is on the SMB side as you continue to kind of evolve and expand and build out the enterprise side. And then I guess in addition to that, connected, you’ve talked a lot about the marketplace GMV and expansion marketplaces with Walmart. Can you talk a little bit about Facebook Shops and Instagram Shops, what you guys are seeing there so far and some of the trends and maybe trajectory from that side? Thanks.
Brent Bellm: Sure. So I'll actually connect the two questions together a little bit. Our original focus as a company, as mentioned, was small business out of Australia, and we think that our open strategy continues to be particularly attractive to small businesses around the world who want to optimize their e-commerce for their specific business and requirements. That includes not just the great functionality endemic in BigCommerce but also what our payments partners can deliver, what our point-of-sale partners can deliver, our shipping partners, etcetera. And we really love it when partnerships like what we just announced like WineDirect and with Commonwealth Bank in Australia enable these types of expansions. For example, although it's one relationship with WineDirect, they serve more than 2,000 wineries in the United States, and ultimately it's a consolidated channel to being able to broadly serve lots and lots and lots of individual wineries thanks to the differentiated capabilities of that partner. Just like with Commonwealth Bank in Australia, they're the leading bank in Australia and with so many relationships and there and are wanting to expand those to what they do digitally that's a tremendous way to gain both marketing reach as well as integrated offering advantages that our competition can't allow. And so when you then go to your second question around Wish and Walmart, et cetera, an awful lot of small businesses would never dream of having the technical bandwidth or resources to individually integrate into these incredible channels and what commerce brings to the table is a pre-integration, a native integration that in many cases is free or extremely low cost to add a channel like those and begin selling is reaching new customers based on the brand reach that Walmart or Wish delivers and they absolutely love that. And some of our favorite stories of success are going to be small businesses in addition to the really large ones who also want to take advantage of those basic extensions. But for a small business that's trying to grow, trying to reach new consumers and can't spend a fortune on digital marketing the platform then, sorry, the channel manager is that cost effective way to get in front of an awful lot of buyers that you couldn't otherwise reach.
Ygal Arounian: Great. That’s super helpful and you guys are partners with Facebook and Facebook Shops, right? Are you seeing any real traction on that side may be more on Instagram side than the Facebook side but any real traction so far there?
Brent Bellm: Yeah. And we've been partners and integrated with Facebook and Instagram through the evolution of their offering for several years now and we're giant proponents of it. What we see as being really successful with Facebook isn't just shops but also Facebook’s ability to target and retarget and look alike target consumers. And one of the things that we're really excited about is historically there was sort of a pixel placed in stores that would sort of gather the data that a merchant needs to advertise effectively on Facebook and now we have a server integration with them much more scalable and much more modern which improves the ability as a use case. If a consumer goes to a merchant site, looks at some items, doesn't purchase, well then that business has the ability to look alike target them on Facebook – sorry, not look alike but retarget them on Facebook or run look alike campaign. And then Instagram is really a different use case and one of the most effective ways we see merchants using it is to basically interact with, communicate with their followers and engage with them as they launch new products, tell brand stories. We have some merchants where their Instagram feed is their number one marketing source of orders when you can really build that following. So we're evangelists for merchants adopting their Facebook and Instagram strategies to what they most benefit from and seeing a lot of success with it.
Ygal Arounian: Great. That's really helpful color. Thanks.
Operator: Our next question comes from line of Drew Foster from Citigroup. You may begin.
Drew Foster: Hey, guys. Thanks for taking the questions. Nice quarter. Pile of a question for Brent. I was hoping you could put a finer point on whether you're starting to hear headless is a central theme in more of your enterprise conversations versus enterprise conversations versus one of, one of several considerations where a number of features within some of these legacy solutions are just stale. Has the sense of urgency to move toward those types of architectures picked up?
Brent Bellm: There's a nuance geographically to that answer. I would say in Europe for larger enterprises headless as often at the forefront of consideration and that's because of the complexity of different languages, different countries, different occurrences, you can't easily just have a configurator in a single store you often need multiple stores and you may be selling different products in different countries. So, that's where headless and multistorey really come together very effectively. And is a higher penetration or higher percentage of our sales opportunities than for example in the US where a lot of companies just focus on American English US dollar sales including what they may do in Canada and surrounding geographies. However, what we think is a leading trend is as businesses want to become experience first and the most innovative on their experiences, that's where headless really shines. And that's the other use case. And we think that's going to keep increasing in even markets like the US where the, where the language currency country complexity isn't as strong.
Drew Foster: That's helpful color. I appreciate it. Just one for RA. How should we be thinking about subscription ARR talents in 2021 from transaction related overdue whether it’d be from other number of orders or GMV thresholds being brief. I think there are some thresholds being breached, I think there was some of that benefit in 2020. Is that less of a tailwind in 2021 as you're contemplating the guidance there?
Brent Bellm: I would say we're likely going to have more growth adjustments and upgrades this year than last year, especially as our mix continues to shift to these larger accounts as they start transacting. We kind of built in a little bit of a buffer in terms of when they exceed their initial order tiers. But I think for us, as that mix continues to shift more to these enterprise plans, all of those enterprise plans have kind of order tiers that as they mature on our platform, they'll likely exceed. So…
Drew Foster: Got you.
Brent Bellm: …we purposely built out our plan, our pricing model that way.
Drew Foster: Okay, helpful. Thanks.
Operator: And our last question will be from the line of Ken Wong from Guggenheim Securities. You may begin.
Ken Wong: Great. Thanks for squeezing in and I'll keep it to keep it to one question. Just wanted to touch on these agency partners. What kind of growth did you see here? And as you guys move deeper into enterprise, how are you thinking about the types of partners that you guys may need to attract to the platform?
Brent Bellm: Yeah. We're seeing agency partner growth at the greatest at the bell – it’s the two ends of the bell curve. So I think that when starting five years ago, we felt really strong presence in mid-market agency. And now what we're seeing is tremendous growth for individual developer shops, one-person shop for SMBs but especially at the large enterprise level. Now being a public company has been a game changer for BigCommerce when, I'm not going to name names, but let's say the last press release we did with EPAM. That's an example of the genre of large enterprise agency that are now building practices with us. We anticipate more announcements to come or at least partnerships to be built without announcements where they're building practices around us because with the large –with the largest of enterprise agencies are saying is the days of customers buying the multimillion dollar IBM, Oracle, SAP, Magento projects are over. They want the benefits of SaaS and they're blown away at just how flexible and powerful what BigCommerce delivers is right what the market wants. And they see us being able to serve a very meaningful subset of opportunities that used to be far more expensive for the clients that they serve. So the large enterprise agencies are all waking up to us and it's the combination of our transparent public emergence as a public company in addition to what now Forrester, Gartner, IDC, Paradigm are all saying about the capabilities of our platform. So, hopefully, many more success stories to share with you in coming quarters.
Ken Wong: Great. Thanks for the color, Brent.
Operator: Thank you. There are no further questions in the queue. I'd like to turn the call back over to Brent Bellm, President, CEO and Chairman, for any closing remarks.
Brent Bellm: Just want to say thanks to all of the investors, analysts and folks who followed BigCommerce for your time, your attention, your partnership. It's an honor to serve you in addition to our ecosystem of partners and customers. And we hope for more exciting stories to tell you in the quarters ahead. Thanks.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.